Operator: Greetings, and welcome to the Synchronoss Technologies' Financial Filing Update Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Larry Irving, Chief Financial Officer. Please go ahead, Mr. Irving. 
Lawrence Irving: Thank you. Good morning, everyone. Thank you for joining us today to discuss the completion of our 2017 annual report on Form 10-K, which includes a restatement of our previously reported result as well as our first quarter of 2018. I am Larry Irving, Chief Financial Officer of Synchronoss, and with me on the call today is Glenn Lurie, President and Chief Executive Officer. During this call, we will make statements related to our business that may be considered forward-looking statements within the meaning of the federal security laws, including statements about our financial trends, future results of operations and financial position, business prospects and market opportunities and prospects. Generally, these forward-looking statements are identified by words such as expect, believe, anticipate, intend, and other indications of future expectations. These forward-looking statements are based on the business environment as we currently see it and as such include certain risks and uncertainties. Any forward-looking statements that we make on this call are based on assumptions as of today, and we undertake no obligation to update these statements as a result of new information or future events. In conjunction, we have created a presentation for today's call that is available on the Investor Relations section of our website. With that, I'll turn the call over to Glenn. 
Glenn Lurie: Thanks, Larry. And thank you to all for joining us this morning. I'm pleased to announce that Friday afternoon, we filed our 10-K for 2017 with the SEC, which includes restated and audited financials for 2015 and 2016. We stated 10-Qs for the first 3 quarters of 2015 and 2016 as well as our 10-Q for the first quarter of 2018. We will continue to work to complete the process to resolve any outstanding issues with NASDAQ. I would like to thank our shareholders for their patience over the past 14 months. Our goal has been to complete this process as soon as possible while ensuring that our efforts were comprehensive. I would like to also thank the finance and legal teams here, at Synchronoss, for all their hard work in helping us successfully complete our restatement. We have reviewed every aspect of the business and are confident in our strong foundation from which we can move forward. We believe, we were -- we remain current of our financial reporting as we look ahead, and we look forward to reintroducing Synchronoss to the investment community.  If I can turn you to, over to Page 2. As Larry mentioned, on this morning's call, we review a presentation that was posted to our Investor Relations website. As you can see in Slide 2 first, I will review who Synchronoss is, including a brief history of our company and platforms, and then turn over to Larry to review our financials and the key takeaway from the filings we made on Friday. Finally, I'll finish up with some commentary on the business, and where Synchronoss is heading.
 But before I move further into the presentation, I'd like to highlight a few key points I want investors to remember from this call. Synchronoss remains financially strong with $320 million of cash on the balance sheet as of March 31, and the financial restatement did not result in any impact to our cash balance. We are well positioned to benefit from a number of exciting and substantial market trends that can drive meaningful growth and profitable growth in the future.
 We have strong and deep lasting customer relationships and did not lose any customers related to the restatement process. And we have added tremendous talent to the organization, who has a proven track record of delivering strong results.
 Moving to Slide 3. I think this is a review for many of you, but we wanted to put it on as a reference. You can see the history of Synchronoss at the bottom of the slide, and you can also see the 200-plus customers, 1500-plus employees and 135-plus patents that currently make up Synchronoss at this point in time.
 Moving to Slide 4. I want to make sure that we covered what our business is comprised of. Cloud and digital platforms are sitting inside the digital cloud business on the slide on the left. Included on the right, is our Messaging business, which would include our mail and messaging. As you will see below, we've added some stats and relevant to our business, as we have significant customers in each that we're supporting in these areas. And at the bottom, you can see a few examples of the customers that are sitting inside of each of these buckets.
 On Slide 5, I wanted to provide this as a reference, but will not go into great detail on the call, but you can see the recent history for the company from its being founded in 2002, the transition phase, I think we're all aware of in 2016 and 2017, and what I and the team would like to call the new Synchronoss, which will be what we have going forward.
 With that background, I'll now turn the call over to Larry to walk through the numbers. Larry? 
Lawrence Irving: Thanks, Glenn. Before I provide an overview of the results for 2017 and the first quarter of 2018, I would like to spend a few moments reviewing what led to the restatement of our prior period of results, which is the reason the company fell behind in its financial reporting requirements.
 In June of last year, the audit committee in conjunction with the management and the company's auditors, Ernst & Young, determined that the company's previously issued financial statements for 2016 and 2015 needed to be restated and could no longer be relied upon.
 Subsequently, in October of last year it was also determined it was necessary to restate our financial statements for 2014. There were 3 primary issues that were corrected during the restatement process. First, the first relates to the manner in which the company recognized certain revenue related to hosting fees. In some cases, we had entered into hosting arrangements that included various components to the fee structure, with customers required to pay certain fees on an accelerated basis during the initial years of the contract. In these instances, we recognized the accelerated fees as billed, while recognizing the maintenance and support fees ratably over the life of the contract. We have now determined to revise our accounting treatment to recognize all elements of these contracts ratably over the appropriate period of time when the hosting services were provided to the customer or the customer benefited from the setup fees.
 For some perpetual license customers for who we historically recognized the licenses' fees upfront, we determined those license fees should also be recognized ratably over the life of the contract due to the inclusion of the hosting services as part of the same multiple services' element arrangement.
 The net results of these changes is that revenue recognized on an accelerated or upfront basis, which was based on amounts invoiced to the customers at that time has been deferred to future periods and will be recognized ratably over the life of the contract. It is important to note that these changes in accounting treatment only impacts the timing of revenue recognition, not the amount of revenue the company recognized. Number two, the company also determined to restate certain transactions based on a reassessment of when it had received persuasive evidence of an arrangement. Historically, we had and continue to have contractual arrangements with certain customers who established a master service agreement with Synchronoss that includes general terms and conditions. These master service agreements contemplate the customer-delivering purchase documentation to complete orders, indicating the nature, price and quantity of the products and services ordered. In certain cases, historically formed a view that the persuasive evidence of arrangement existed relating to such orders based upon its receipt from the customer of written confirmation of the order and a commitment to pay the agreed price such as a quote approval sent by the customer in response to a quote issued by us. But prior to the customer receiving the executed statement of work or, in some instances, a purchase order pursuant to a master service agreement. 
 With regards to these transactions, we have now determined to revise the timing of the revenue recognition to when we receive final formal contract documentation, which occurred in a future period. In those cases where the adjustment to defer revenue has been recorded prior to when cash payment was received from the customer, the balance sheet impact has been to reduce the related accounts receivable balance, whereas the balance sheet impact of those adjustments after receipt of the cash payment from the customer has been to increase accrued liabilities. The deferred revenue associated with such transactions has been recognized at the time when the company receives final formal contract documentation under the master service agreement. This has led to some quarters with notable increases in revenue, for example, in our second quarter of 2017 financial results. 
 The third adjustment was with respect to revenue related to correcting identified errors in certain instances where we entered into license agreement at the same time as historical acquisitions and the divesture. In each case, we had originally treated the license agreement as a separate transaction from the acquisition or divestiture and recorded the license fees as revenue.
 We have determined that these fees should be considered part of the consideration for the acquisition. As a result, the revenue associated with these fees, was reversed as part of the restatement, net against the purchase price and reflected on our financial statements as a reduction in goodwill or intangible assets on the balance sheet. In the case of the divestiture, of the exception handling portion of our activation business, the license fees paid by Sequential Technology International to Synchronoss were restated to become part of the overall consideration. In doing so, these license fees were reclassified from revenue to additional gain on sale.
 There were some other minor adjustments made to revenue recognition and other accounting adjustments that were insignificant individually and collectively that are detailed in the 10-K.
 With that background, let me lay out the net results of the restatement.
 Please note that all periods reflect a reclassification of revenue from the exception handling portion of our activation business that was sold in the fourth quarter of 2016 to discontinue operations.
 One, from a revenue perspective, revenue for the years 2013 through 2016 were reduced by $190 million, compared to previously total revenue of [ $1.4 billion ] over that same 4-year period. Of the $190 million reduction, $75 million was primarily related to the restatement of revenues associated with acquisitions and divestitures. This amount will not be recognized as revenue in the future periods, and for the most part, has been adjusted as part of the purchase price for gain of sale of assets.
 The remaining $115 million, which is net of restated revenue already recognized will be recognized in future periods and is reflected on the December 31, 2016 balance sheet as an $82 million increase in deferred revenue for the fees, which amounts were collected in cash and the remaining $33 million was in -- unbilled as of December 31, 2016.
 This $115 million in future revenue began to get recognized in 2017 with $48 million recognized during 2017, and the remaining balance will be treated pursuant to the new ASC 606 revenue accounting standards.
 Two, from a profitability perspective, there were minimal charges -- I'm sorry, minimal changes to expenses, so the reduction in revenue during these years resulted in the corresponding reduction to our bottom line financial performance. Looked at by year, the change in our financial results are as follows. For 2014, restated revenue is $233.4 million compared to $307.3 million previously reported. For 2015, restated revenue is $372.6 million compared to $428.1 million previously reported. Non-income from continuing operations is now $48 million for 2015 versus $96.2 million previously reported. Adjusted EBITDA for 2015 was $89.4 million. Free cash flow is now $31.8 million compared to $79.9 million previously reported. The significant growth in revenue in 2015 was driven, in part, from the timing of revenue recognition related to the evidence of the persuasive evidence of an arrangement. For 2016, restated revenue is $426.3 million compared to $476.7 million previously reported. From a growth perspective, 2016 was up 14% on a restated basis compared to 11% growth previously reported, so generally consistent on a directional basis.
 Non-GAAP income from continued operations for 2016 is now $26.9 million versus $82 million previously reported. Adjusted EBITDA for 2015 was $69.8 million. Free cash flow is now $54.3 million for 2016 compared to $84 million previously reported. There are tables within the 10-K that detail the elements of revenue and expenses that changed as part of the restatement for each year.
 Now I would like to provide a summary level review of our financial results for the full year 2017 and the first quarter of 2018. Unless otherwise noted, profitability metrics will be discussed on a non-GAAP basis. A reconciliation of non-GAAP to GAAP numbers as well as discontinued operations associated with the divestiture of Intralinks can be found on our Investor Relations site. Also, please note, that our full year 2017 results are reported under revenue standard ASC 605, and our first quarter 2018 results are shown under the new ASC 606 accounting standards. I will talk about 606 implementation in a greater detail in a few moments.
 For the purpose of this call, we're going to talk about revenue in 2 categories. Digital Cloud and Messaging. Digital Cloud includes our personal cloud, activation business and other products. Messaging consists of revenues associated with the messaging marketplace, e-mail solutions and ancillary products. Total revenue for the fiscal year 2017 was $402.4 million, which represented a 6% year-over-year decline. During the year, we recognized approximately $48 million of restated revenue from prior year periods, as discussed earlier. Looking at our 2 categories, Digital Cloud revenue was $348.5 million, a 9.6% year-over-year decrease. While Messaging revenue of $53.9 million grew 31.8% year-over-year. In addition to the significant resources and management attention that were consumed by the financial restatement process our results in 2017 were impacted by a few items. First, overall 2017 was a transition year for the company with significant efforts during the year focused on the integration of Intralinks and the pursuit of the enterprise strategy. This was followed by the divestiture of Intralinks and the refocusing of the company on its core telecom market with an expansion into media and broader technology markets. With these distractions now behind us and a new refocused strategy in place along with the meaningful infusion of new leadership brought into the company, we believe, Synchronoss is much better positioned to generate solid growth from a long-term perspective. That said, going through this transition process has clearly had a negative impact on our growth from a near-term perspective, and it will take time for our new initiatives to lead to new engagements. And then for those new engagements to scale.
 Two, in addition, our cloud revenue was meaningfully impacted by 2 items that happened during 2017. First, as part of our renewed focus on the TMT market, we determined that our core solutions can deliver the most value to sophisticated Tier 1 customers. We had a number of smaller customers who were utilizing cloud platforms we had previously acquired. We made the proactive decision to sunset those platforms and focus our development resources on our core platform. As a result, a number of these smaller customers churned. In addition, we also were impacted by a larger international customer who made the decision to in-source their cloud offering onto an internally built solution towards the end of 2016.
 We also saw a meaningful decrease in professional services revenue from one of our largest cloud customers. This is the result of the customer preparing to reposition its cloud business to focus more on its premium subscriber base. The third factor impacting our 2017 top line in a positive way was the fact that our Messaging business saw a strong growth throughout the year driven by new customer wins. We are seeing good activity in this part of the business and feel good about the future prospect in messaging.
 From a mix perspective, 75% of our revenue was recurring during 2017, which includes subscription in transaction revenue, 15% was professional services and the remaining 10% was license revenue. This compares to a 73%, 25% and 2% mix in 2016. We are pleased with the high level of our revenue that is recurring in nature, which improves the predictability of our model.
 Turning to profitability. Gross profit was $227.3 million for the full year 2017, which represents a non-GAAP gross margin of 56.5%. Gross margin declined from 60.1% in 2016, primarily due to lower revenue. Non-GAAP operating loss from continued operations for 2017 was $3.6 million and adjusted EBITDA was $56.5 million. This compares to 2016 non-GAAP operating income from continued operations and adjusted EBITDA of $14.4 million and $69.8 million, respectively. Again, our profitability was impacted by the lower revenue levels. As we work through the restatement process and transitioning our business, we proactively took measures to rationalize our cost structure, including the previously announced management streamlining and realigning -- realignment plan in June 2017. As we look ahead, improving profitability and increasing the efficiency of the company will remain a primary focus. We will pursue additional opportunities to improve our cost structure while ensuring we make the necessary investments in R&D and our go-to-market teams to ensure we're well positioned to capitalize on a targeted growth opportunity.
 Non-GAAP loss per share from continuing operations contributable to Synchronoss for 2017 was $1.88 compared to a profit of $0.29 in 2016. This reflects approximately $9.3 million loss attributable to noncontrolling interest in our joint ventures. The performance of these noncontrolling entities can vary significantly from period to period and are now reflective of the underlying trends in our business -- and not reflective of the underlying trends in our business. Please note, that our non-GAAP results exclude approximately $37.2 million of onetime legal auditing and professional services associated with the financial restatement process. These expenses continue through the first half of 2018. As we move forward, we believe, adjusted EBITDA is the most appropriate profitability measure on which to judge our performance. This is the metric we manage to internally, in what we believe, provides investors with the best insight into the operational cash flow generation of the business.
 Turning to the balance sheet and cash flow. We ended 2017 with $249.2 million in cash and cash equivalents, restricted cash and marketable securities. We have $230 million in convertible debt that matures in August 2019. During the course of 2017, we paid off the entire $900 million term loan raised to finance Intralinks' acquisition with the proceeds from its subsequent divesture. From a cash flow perspective, for the full year 2017, operating cash flow was negative $18.2 million and free cash flow, which we calculate by subtracting capital expenditures and capitalized software from operating cash flow, was negative $39.5 million. Our 2017 free cash flow includes $37.2 million of onetime cash expenses related to the restatement process. Please note, the significant reduction in capital expenditures to $21.3 million from $50.2 million in 2016. This reflects a shift in our Cloud business in 2017 to leverage third-party data centers. We anticipate the capital intensity of this business will remain modest going forward, which will be significant -- which will be a significant benefit to our cash flow generation in the future.
 That concludes my review of our 2017 financial results. Before I discuss our first quarter 2018 results, I would like to take a moment to discuss ASC 606. We adopted ASC 606 as of January 1, 2018 and utilized the modified retrospective approach. The cumulative adjustment from 606 on our balance sheet was $10.1 million. To provide comparability to our prior year periods, we intend to also present our 2018 results on a pro forma basis under ASC 605, the previous revenue accounting standard.
 Turning to our first quarter 2018 results, we reported revenue of $83.7 million on a 606 basis, which is approximately $11 million higher than what we would have reported on a 605 basis. Were it not for the adoption 606, revenue would have declined 15% from the first quarter of 2017. Digital Cloud revenue was $61.3 million and Messaging revenue was $22.4 million compared to $76.5 million and $9.6 million in the year ago period. The year-over-year decrease in Digital Cloud revenue reflects the decision of the major cloud customer to focus on a premium subscriber model. As we move forward through 2018 and beyond, there is significant opportunity for growth from these higher quality premium subscribers. We believe, a growing focus on premium subscribers is the right move for carrier-branded cloud offerings, and we are very confident that Synchronoss will be a meaningful beneficiary of this trend.
 Turning to profitability, gross profit was $40.3 million for the first quarter 2018, which represents a non-GAAP gross margin of 48.1%. This compares to non-GAAP gross margin of 49.3% in the first quarter of 2017.
 Non-GAAP operating loss from continuing operations for the first quarter was $22.6 million and adjusted EBITDA was negative $5.9 million. This compares to non-GAAP loss from operations of $27.9 million and adjusted EBITDA of negative $12.4 million in the first quarter of 2017. Non-GAAP loss per share from continuing operations was 54% compared to a loss of $0.63 in the first quarter of 2017.
 Turning to the balance sheet. We ended the first quarter of 2018 with $320 million. During the quarter, we sold $97 million of convertible preferred shares for the net proceeds of $86.2 million. From a cash flow perspective, in the first quarter, operating cash flow was negative $9.4 million and free cash flow was negative $17.5 million after taking into account $1.1 million of capital expenditures and $7 million of capitalized software. This is an improvement compared to negative free cash flow of $19.4 million in the first quarter of 2017. Free cash flow in the first quarter of 2018 includes $6.7 million of onetime cash expense related to the restatement process. As investors think about cash and cash flow going forward, we would note that we have incurred several significant cash out flows during the second quarter. This includes a $20 million cash tax payment, primarily related to the gain we booked on the sale of Intralinks. $10.7 million for the purchase price of honeybee and payments to various professional service firms for services associated with the restatement process. These are onetime cash outflows and not indicative of the cash generating capabilities of the business.
 In summary, we are pleased to have finalized the restatement process. As you can imagine, this has been a sizable undertaking that has required significant management attention and the full resources of the financial team. We look forward to turning the page and focusing all of our efforts on optimizing the company's performance and the execution of its growth strategy. We will update investors on our second quarter call, where we will provide additional updates on the future of the business. 
 With that, I would like to turn the call back to Glenn, who will provide some commentary on the company and what its focus is going forward. Glenn? 
Glenn Lurie: Thanks, Larry. And moving forward, let's go to Slide #15. As you're looking at Slide 15, you'll see this is our key priorities and core value slide. I felt that was really important to discuss, because after I retired from AT&T and was considering my next move, one of the reasons I chose Synchronoss is the incredible people that are here. As a previous customer of mine, Synchronoss, for over 14 years, I can say, they excelled at building sound and trusted relationships. After joining Synchronoss, I discovered that the culture was solid, people were treating each other right, but there was no consistent written guidelines around the culture and around how folks were going to work together. I'd also say that there was really no place that there was, on one page, that you could see exactly how we were go forward in getting all the employees rolling in the same direction. One of the first tasks was to get together with the senior leadership team and build what you're looking at, which is our key priorities and core values. The focus around this, when I start with core values, is hiring and developing great people. It's around innovation. It's around holding people accountable. It's around integrity, you can see the words. Really important, and the second part of this, was the key priorities, making sure everybody understands how we're winning. And that's around growing revenue, building trusted relationships, delivering superior cost structures while doing this and winning together. Also and certainly not last, and certainly not least, is the people, purpose and passion at the bottom, which is the foundation of how we want to work each and every day with each other and with our customers. It's all about putting our people first. It's all about everybody understanding their purpose in the business, and it's about folks coming to work every single day passionate about what they do.
 If I can take you to Slide 16, you will see our world-class leadership team. All I want to say here is a reminder of who we have on this team. This is an incredible group of people with loads of experience, and they're all very dedicated to Synchronoss, and where we are, and how we're going to go forward. If I can take you to Slide 17, I think this is an important discussion around our key priorities for this year. Stabilizing the business in 2018, resetting the focus of the business and laying a foundation for growth in 2019 is what we are doing each and every day. Stabilizing the business, obviously, what we're doing today is a big part of that process. We have reviewed every aspect of the business and are confident we have a strong foundation from which we can move forward. We have new management team with improved financial controls and policies to also move the business forward in the right way. We believe we are well positioned to remain current on our financial reporting as well.
 As I said earlier, we are excited and look forward to reintroducing Synchronoss to the investment community.
 The reset of the focus of the business is all about our new talent. Just so everybody understands, we had no trouble hiring folks during this process. I've been asked that question numerous times. This was due to relationships and people understanding where the business is headed. I think Mary Clark coming to work here, our new CMO, is a great example of that.
 We also are better utilizing the existing talent. As I said, Synchronoss was all about its people and had a ton of talent here when I got here, and we're wanting to make sure we utilize that better, and it's about making sure we have a focus on new product management organization led by Mary, who owns the P&L, focused on new exciting innovation, identifying places we want to invest, and I would say, we're also still focused and very proud of what we've done around the cost structure, but we have more opportunity there as well.
 As far as laying the foundation for growth for 2019, obviously, we are not providing a formal outlook today, but Synchronoss is a growth-oriented company, and the opportunity 2019 and beyond, we feel good about. We have a full pipeline. We are entering companies at the C level, based upon relationships that I've had in the industry for many, many years, which is a change, and I also believe, as Larry talked about, we are going to be able to move to more reoccurring revenue models. We are going to build trusted relationships with our customers. As I said earlier as well, our current customer base has -- has been fantastic. We haven't lost a single customer through this process, and we will continue to invest in key areas that we believe we have opportunity. Obviously, honeybee is a great example of that. Last, but certainly not least, is our focus around expanding globally. We've hired a new president in EMEA and are close to a president in APAC.
 If I can ask you to go to Slide 18, you can see the momentum in the business, the last 6 months, renewing the Verizon contract was obviously critical to the business, and I'm very proud of the team as Verizon is a tremendous partner. The AT&T IoT partnership, we announced, is also continuing to flourish and was a great example of us moving into some new areas, obviously, IoT with our current product set and the Sprint win around their digital portal for their B2B business also very exciting for us, and we're looking forward to continued execution there. You all are aware of the serious capital investment, and again, the honeybee acquisition. So nice work during the time. Obviously, our finance team and our legal team were hard at work getting the restatement done, but the business continued to move forward as it should.
 If you go to Slide 19, this is a slide that you're going to see a lot as we talk to you. It's all around the evolving Synchronoss strategy for our move and changing towards TMT landscape. If you look at the 4 boxes, the focus of Synchronoss in the past was very much a carrier-telco focus, Synchronoss has done a very, very nice job there. We have an opportunity with our platforms and our products to take that focus more to the entire TMT marketplace. We will continue to scale via partnerships, really important part of what we brought to the table in 2018 is the fact that we're going to look at partnerships to increase our product and sales velocity at lower cost and around our product portfolio. We've talked multiple times around the new business models from going from a licensing model to reoccurring model. And again, we will continue to focus on the domestic and an increased focus around global.
 If I can take you to Slide 20. Important slide in the sense that Synchronoss is going to evolve as we see the industry shifts. Right now, we're seeing a shift in the carriers, CapEx and OpEx is up. We're spending on 5G. Revenues are flat to down. Consolidation taking place in the wireless space, whether investments in TV, media or advertising, and we're seeing OTT disintermediation. With those shifts, we're seeing the players in the TMT space making changes and making investments, we view these challenges, these changes, as a valuable opportunity to Synchronoss to support. If you see our plan, in the past was we were an operator solutions provider, in the future, we will be a software and services provider. If you look at the colored box or circle in the middle, you'll see kind of the what's happening through the ecosystem that I talked about, and below you will notice that our cloud and activation business of the past, you add in Messaging, Digital and IoT, it shows the transition that we are making to move toward and support the TMT sector and the companies in TMT.
 You go to Slide 21, this is just an industry-focused slide to talk about where the industry is going and the level and size and scope of these areas. The Cloud business is growing. Larry talked about it in his comments. We're seeing that with our current customers and the customers that we are talking about and talking to. Our 2 billion personal cloud users by 2019, we're seeing every single business that we talked who talk about going digital, and obviously, a very important opportunity for us trending and spending in IoT is all going to be over $1 trillion by 2020. And you can see and the messaging companies using bots is increasing by 80%. We believe that our portfolio in the Cloud platforms, Digital platforms, Messaging and IoT play very, very well in each of these areas.
 I can take you to the summary and then the last slide, I want to reiterate. Stabilize the business for 2018, we're making very nice progress. To reset the focus of the business: that is happening and in play today, and we are laying the foundation for growth in 2019. The next update from us will be our Q2 earnings in August of this year.
 And with that, I'd like to pass it back to our operator, Rob, to open up for questions. 
Operator: [Operator Instructions] The first question comes from the line of Sterling Auty with JPMorgan. 
Ugam Kamat: This is actually Ugam Kamat on for Sterling this morning. Sorry, if this -- like you must have answered it before. We have been juggling between calls, so apologies in advance. But if I look at the numbers that you have put out in your slide, looks like the restatement for 2016 and '15 was more than the 10% that you had outlined in your 8-K filing back in June of 2017, was there anything else that was restated or any other particular contract that had their financials restated that was not expected earlier? 
Lawrence Irving: Yes. So we broke the restatement, as I had mentioned in the prepared script into 3 basic categories. Hosting revenue, evidence of an arrangement and then the licenses associated with some acquisitions. When we put the guestimate out there in terms of what the restatement was, we were looking at kind of what we thought the numbers would be. I think if I had to go back and say what was the big difference and what was one of the biggest challenges, it had to do with the evidence of arrangement and being able to kind of determine what revenue should be restated versus what should have been recognized. It was a very difficult process, because we have -- the carriers have a practice of doing business with us similar to the way we had done business and recognized revenue. And certain contracts, just got pushed forward or certain revenues got push forward simply by a change that was made in the statement of work. I'll give you an example, we could have had 7 or 8 different statements of work that were completed, and we worked on it, but there was one master statement of work that was being done, it was going to collect all of them under one. And as a result, we had to consolidate them and recognize them in a later period. So that would be an example of something that was different than what we thought when we first started. 
Ugam Kamat: Just to follow up for that earlier question. So if you are recognizing more of that particular revenue ratably now, how much of that restatement would flow to future years like 2018 or '19? 
Lawrence Irving: So the interesting part about this, just to be clear, is we -- under 605, you would've recognized that ratably. Now that we're adopting 606, there's another treatment, and so we're going to work through it. So for example, 606 -- I'm sorry, 605 in the evidence of an arrangement under 606 would have been treated very similar to how we had done it before the restatement. So there's a lot of different works -- announcements that needs to go through it. One of the reasons why we're not sitting here and providing guidance going forward is that we still need to work through how 606 impacts the future periods. But, the bottom line is that 605 was ratably -- treated ratably, 606 we'll probably treat it a little bit different. 
Ugam Kamat: Got you. And if I could squeeze in one more in on the business aspect of it. So you have renewed your agreement with Verizon. But there weren't any financial details that were actually out there in terms of your -- in terms of the renewals, so how does the financial metric of this particular renewal compares to what financial metrics you had before the contract was renewed? Was it offered it at a discount? Was it offered at a premium? Or just the same price point? 
Glenn Lurie: Yes, it's a good and fair question. One of the things we can't do is talk about specific contracts with specific customers. You will see us talk about our Cloud business as a whole, which is what we did here, our Cloud and Digital business. And that's where we're going to stay focused. So I understand the question. Like I said, it's a good question, it's not one that we can answer based upon our agreement with, in this case, Verizon or any one of our other customers. What we will do, as we come into August, we will continue to talk about Cloud and Digital business as a whole and will give you some indications of what we can. I also believe that our Verizon contract is out there publicly. They're, obviously, some things redacted from that agreement for those purposes. 
Ugam Kamat: Okay. But just wondering given that it is a significant portion of your revenue, I'm just wondering, how that would impact going forward, because if it is offered at a discount or premium it can, like have a -- it has an impact to move the needle -- like, it can significantly move the needle, right? So just wanted to get some clarity around that. 
Glenn Lurie: Yes. As Larry stated, there was a change in model that Verizon's going to a premium customer model. All we have stated is that we're very happy they've gone to a premium customer model. This has taken cloud from what many people viewed as a cost line item to a revenue line item for the carrier. And so all we can tell you is that we are comfortable and -- with where that business is going. As a cloud business, as a whole, we believe there is opportunity to continue to grow it and grow it profitably. 
Operator: The next question is from Tom Roderick with Stifel. 
Parker Lane: It's actually Parker Lane on for Tom. As we look at the profitability of the business, I know you talked about the revenue reduction being the main contributor to the decline there. Obviously, you're not guiding, but I'm curious, with the shift to premium offerings and the enterprise business sort of out of the fold now, what you think the right number for us to be thinking about long term would be for that profitability, both on a gross margin basis and an operating margin basis? 
Lawrence Irving: Parker, we're going to reserve kind of talking about the future until our next call. And we'll give a better detail and a more -- a wider detail in terms of what we plan on doing on a longer-term basis. So for now, the focus right now has been trying to get the historical financial statements complete. We've got that complete, getting the 606 adopted in a very short period of time. And now it's just sitting back and trying to figure out how best to think about the business going forward. What I will say though, is that we are, as Glenn had pointed out, really focused on our cost initiatives, and one of those cost initiatives is around our hosting cost, and how we could minimize those costs and get a better efficiency around that. And we are already implementing certain of those cost reductions. 
Parker Lane: Got it. And then on the digital transformation business, I was curious, how much of an impact you saw at the first quarter revenues from the Sprint deal that you signed in late February? And how much lumpiness we should expect in that business compared to what we've historically seen in Cloud? And then I guess, just more broadly, is that business more recurring in nature compared to Cloud? Or what's the revenue split there? 
Lawrence Irving: Yes. So it's not very large impact right now in terms of where that business is, it's not lumpy, and the revenue associated with that will pick up over time as it grows. 
Glenn Lurie: Yes. And I would just add to that. That business, obviously, we have to work through one of the things obviously, 606, and how we will be able to record that revenue. But I'll tell you that the Digital business, one of the things, obviously we've done recently was the acquisition of honeybee, which is a platform dead in the middle of our business. And we've only had that for about a month, but I'll just say, we are having some very, very good conversations with others, and obviously, we've announced the Sprint deal, which we'll continue to work through that deal through 2018 into 2019. 
Operator: At this time, I will turn the floor back to Glenn Lurie for closing remarks. 
Glenn Lurie: Thank you, I appreciate it. By the way, I just want to thank everybody for coming -- getting on the call and on very, very short notice. I want to, again, thank Larry and the finance team here at Synchronoss and Ron and the legal team for some incredible work getting this done in the time we got it done. I know it felt long to everybody, it felt long to us as well. But much shorter than we've seen the majority of other companies get through this. So I appreciate everybody, look forward to talking to you again in August. Thank you very much. 
Operator: Thank you, this concludes today's teleconference. You may disconnect your lines at this time, and thank you for your participation.